Operator: Welcome to the Pacific Basin 2022 Interim Results Announcement Call. I'm pleased to Chief Executive Officer, Mr. Martin Fruergaard.  Mr. Fruergaard, please begin.
Martin Fruergaard : Thank you. Welcome, ladies and gentlemen, and thank you for attending Pacific Basin's 2022 interim results earnings call. My name is Martin Fruergaard, I'm CEO of Pacific Basin, and I'm joined on the line by our CFO, Peter Schulz. Please turn to Slide 3. In the first half of 2022, we generated our best interim results ever, producing an underlying profit of $457.5 million, a net profit of $465.1 million and an EBITDA of $566.9 million. This yielded an exceptionally strong return on equity of 48% with basic earnings per share of HKD 74.5. Our financial position continues to strengthen with available committed liquidity of $698.6 million and a net cash position of $68.9 million as at 30th of June 2022. In light of the strong earnings cash position and our confidence in the longer-term outlook for minor bulk shipping, the Board has declared an interim basic dividend of HKD 0.35 per share, representing 50% of our net profit for the period and an additional special dividend of HKD 0.17 per share, representing 25% of our net profit for the period. The basic dividend and the special dividend together amounts to a total of HKD 0.52 per share equal to $348 million or 75% of net profit. Please turn to Slide 4. The charts show how positively Handysize and Supramax spot rates have developed over the period. Minor bulk freight demand was the main supporter of rates in the year-to-date. Freight rates saw a typical seasonal decline leading up to Chinese New Year, but otherwise remained firm over the period at higher levels than prior years, averaging $22,000 and $25,630 net per day for Handysize and Supramax, respectively. A softening in rates since May has been due to higher vessels availability as a result of a reduction in grain exports and demand weakness in China. However, the market seems to have found a floor over the past weeks. Please turn to Slide 5. It has been a continuation of strong minor bulk demand which has supported rates over the period. In particular, demand for construction materials, aggregates, cement and clinker. Coal loading in the period were up 2% with high seaborne coal demand driven by a surge in global energy demand and energy security concerns, despite record Chinese domestic production and the Indonesian coal exports ban in January. The conflict in Ukraine has also had a positive tonne-mile impact as coal has increasingly been sourced from non-Russian areas such as Australia, United States, Canada and Colombia. Conflict in Ukraine continues to impact grain exports from the Black Sea and has been a contributing factor in lower year-to-date grain loadings of 6% compared to the first half of 2021. Global food security has become a major issue as typical buyers of Ukraine grains are forced to source from locations which are further away. Some lost volumes are being replaced by other producers, most notably the United States, Argentina, Brazil and Australia as higher grain prices have incentivized farmers around the world to increase planting for export with these volumes expected to benefit overall tonne-mile demand. We continue to monitor recent news regarding an agreement to allow grain export from the Black Sea, which we ultimately see as a positive to demand if the agreement can be executed safely and efficiently. Iron ore loading volumes declined 1% in the first 6 months due to seasonal weather impacting mining operation from key producers in Brazil and Australia. Please turn to Slide 6. Our daily TCE earnings over the period were substantially higher than prior years, driven by strong minor bulk demand and supply fundamentals. These charts shows -- show our quarterly actual achieved TCEs for the Handysize and Supramax ships. As you can see, our earnings were significantly higher with our Handysize and Supramax TCE rates in the first half of 2022, up 83% and 85%, respectively, compared to the same period last year. We have covered 81% and 85% of our Handysize and Supramax vessel days in third quarter 2022 at $23,690 and $28,970 per day net, respectively. Please note that our Supermax forward cover estimates, excludes the scrubber benefit, which is currently about $5,130 per day, across our 32 and 3 time -charter Supramax vessels. Market activity over the period was strong, allowing us to take attractive cover while maintaining sufficient spot market exposure. Please turn to Slide 7. In the period, both our Handysize and our Supramax delivered an exceptional performance, and we outperformed the indices by $4,370 per day and $8,210 per day, respectively. Our performance continues to benefit from our diverse cargo and customer base and the close customer interaction facilitated by our extensive global office network. It is worth noting that scrubber fitted to our core Supramax vessels contributed $2,120 per day to outperformance in the first half 2022. Handysize and Supramax vessels have outperformed the index over the last 3 and 4 quarters, respectively. Our operating activity contributed $30.7 million, generating a margin of $3,330 net per day over 9,200 operating days in the first half. While margins varied over the period, they still remain historically high, and our operating activity represents an ongoing opportunity to utilize specific basins, commercial and operating skills as well as our global presence close to our customers to generate supplementary earnings for the business. Please turn to Slide 8. On Slide 8, our Handysize owned vessel costs remain competitive despite higher depreciation costs related to the reversal of a vessel impairment of $152 million at the end of 2021. Handysize daily OpEx costs increased by 17% compared to the full year 2021 as a result of higher crewing costs. Our Handysize vessels employ a higher proportion of PRC crew. And as a result of the pandemic, we have had higher associated repatriation and crewing costs. Repatriation costs are beginning to reduce as the process of returning our crew home begins to ease and our reduced number of PRC seafarers. We expect second half 2022 seafarer repatriation cost to be lower than the first half of this year. Please turn to Slide 9. On Slide 9, our Supramax overall vessel costs remained at competitive levels in the industry. Supermax long-term chartered vessel daily costs increased by 26% compared to the full year 2022 to $14,400 per day. This is due to strong market conditions, which have increased charter costs although they remain profitable in comparison to current market spot rates. I will now hand over to Peter, who will present the financials, and I'll be back afterwards with outlook and strategic summaries. Peter?
Peter Schulz : Thank you very much, Martin. Good afternoon, ladies and gentlemen. I hope you can hear me all right. Now please turn to Slide 11, where we set out our P&L in summary. As you can see, given the higher TCE rates over the period, we generated our best interim result ever, despite higher owned and chartered costs, as Martin has explained. Our G&A has increased mainly due to higher discretionary remuneration provisions. Our full year 2022 G&A costs are expected to be in line with the full year 2021 G&A. Below underlying profit, our net profit was further impacted by positive mark-to-market changes in our hedging portfolio and gains on vessel disposals. This was partially offset by incentive fees paid to bondholders for the early conversion of our convertible bond. Now if you please turn to Slide number 12. The operating cash flow for the first half was $486 million. This is inclusive of all long and short-term charter hire payments. This compares with the $204 million in the first half of 2021 and $813 million in the full year 2021. We had $41 million in proceeds from the sale of 4 smaller Handysize vessels, which were sold and delivered in the period, while the sale of our fifth smaller Handysize vessel was delivered in July, so the benefit will be reflected in our full year results. CapEx spending remains well controlled, and for the first half of '22, it totaled $35 million, of which we paid $15.5 million one second-hand Ultramax and around $20 million for dry dockings and ballast water treatment system. We expect capital expenditure for 2022 to be approximately $60 million, predominantly relating to dry docking and ballast water treatment systems and excluding any vessel purchases. Despite paying our final dividend for 2021 of $368 million in May, we still increased our cash balance by $56 million during the period. Now please turn to Slide 13. So strong operating cash flow and limited capital expenditure has increased our available committed liquidity of close to $700 million, and we are today $69 million net cash positive. During the period, we made an offer to holders of our $175 million convertible bonds to incentivize early conversion. This resulted in a reduction of outstanding convertible bond to $70 million. This offer has allowed us to further optimize our capital structure by reducing net borrowings and increasing the company's equity capital, thereby deleveraging our balance sheet while at the same time lowering our finance cost. This offer is in line with our capital allocation priorities, which firstly is to de-lever the balance sheet. We've also maintained a strong available liquidity position for any potential future investments while continuing to distribute excess cash through dividends to our shareholders. The 75% of profits total dividend payable for the first half of the year is a strong reinforcement of this strategy. I will now hand you back to Martin for his outlook and strategy slides.
Martin Fruergaard : Yes. Thank you, Peter. And please turn to Slide 15. Global GDP is slowing with the IMF recently revising GDP growth forecast down further to 2.9% in 2022 and 3.2% in 2023. Widely adopted expectations are for recession in both the U.S. and Europe, while demand from emerging markets will be negatively impacted by inflation and the stronger U.S. dollar. China's growth has been restrained over the period due to continued COVID-19 containment measures and a struggling residential property sector. We expect dry bulk demand in the second half to moderate somewhat from recent highs, but remained relatively firm, mainly due to seasonal factors in the grain market, elevated coal demand for electricity production and a continued investment in global infrastructure. In the longer-term, we see upside demand from substantial infrastructure investments going forward, increasingly driven by the green transition as well as geopolitical instability and increasing food and energy and security, which is likely to further drive tonne-mile demand for grain and coal and also the eventual relaxation of China's COVID mitigation controls, allowing improved contribution to a recovery in domestic and international economic activity. Please turn to Slide 16. Dry bulk newbuilding ordering in the first half of 2022 was 9.4 million deadweight compared to 23.4 million in the first half of 2021, a reduction of 60% compared to the same period last year. And despite the strong rates environment we continue to enjoy. The total dry bulk orderbook stands at 7.2% of the existing fleet, which is the smallest and it has been in decades. New ship ordering is expected to remain restrained until vessel designs for clean fuels, such as ammonia and methanol and associated bunker infrastructure becomes commercially viable. Please turn to Slide 17. Despite very little scrapping, the global dry bulk fleet grew only 1.5% net during the half year compared to 1.9% in the same period last year, mainly due to slowing newbuilding deliveries. Vessel speeds remain somewhat elevated leaving limited scope to increase vessel capacity through faster speeds, while COVID-related inefficiencies around the world, particularly in China, have further constrained the availability of tonnage to meet global demand for dry bulk shipping. We expect IMO 2023 regulation will not start forcing slower speed and higher scrapping until 2024 at the earliest. These supply constraints and limited scope for speeding up the global world fleet provides structural long-term support for the dry bulk market. Please turn to Slide 19. Our strategy is unchanged and at our call, we will remain asset heavy, continue to acquire, of course, selectively and in a disciplined way, quality secondhand ships, while complementing our core fleet with mainly short-term charter ships. We will continue to gradually sell our smaller, older ships when the time is right. We have a world-class ship management team, and we are committed to keeping this function in-house with the ambition to further improve our safety and environmental performance, our cost competitiveness and our service quality and reliability to our customers. We will maintain our high level of service to our customers while ensuring our crews are healthy and safe and our vessels continue to operate safely and efficiently. We will not contract newbuildings until zero-emission-ready ships are available and commercially viable in our segment. And we will keep our balance sheet strong while distributing excess cash to shareholders. Please turn to Slide 20. As many of you are aware, the IMO adopted global regulations will come into effect from January 2023, our ambition will be for our ships to achieve an AER rating of C or better. From January 2023, IMO global EEXI and CII regulations are expected to drive technical and operational measures to improve the carbon efficiency of existing ships. We will continue to trade our ships efficiently for high laden-to-ballast utilization and will constantly seek, assess and implement energy efficient operating measures, including looking for collaboration solutions with our customers, tonnage providers, ports and other stakeholders. This will ensure that our existing ships running on conventional fuel oil can maintain sounds Annual Efficiency Ratio ratings and continue to trade for the foreseeable future. During the period, we committed through cooperation with Nihon Shipyard and Mitsui in investigating alternative green fuels and their availability and to develop new zero-emission vessel designs and potentially invest in related bunkering infrastructure. We are preparing ourselves for shipping's eventually inclusion in the European Union Emissions Trading System, among other EU initiatives to drive de-carbonization in shipping. The European Fit for 55 package remains subject to negotiations between the European Council, Parliament and Commission and is now likely to apply to shipping from 2024 onwards. The consequences of these rules will include the progressive slowing of ships, of vessel speeds and over time, accelerate scrapping of older and less efficient ships as they become no longer fit for trading. Please turn to Slide 21. We currently own 117 Handysize and Supramax ships and including chartered ships, we currently have approximately 240 ships on the water. As we stated previously, we are selling our smaller -- small older Handysize ships to take advantage of the historically high asset values and further optimize our fleet. So far this year, we have sold 5 such Handysize vessels. Our vessel purchasing is expected to slow as asset prices approach historical highs. However, our long-term growth and fleet renewal strategy continues with a focus on large Supramax and Ultramax vessels. Please turn to Slide 22. We have had a fantastic start to 2022 with first half average time charter earnings for Handysize and Supramax, up 83% and 85% above first half 2021, respectively. We expect dry bulk fundamentals to remain relatively firm in the second half of 2022 despite slowing GDP growth, demand softness in China and the war in Ukraine. As we expect food and energy security issues and continued global infrastructure investments to moderate the impact. We also see potential upside in a lifting of the Black Sea grain embargo and China being able to better control its sporadic COVID-19 outbreaks. Given the supportive fundamentals of our industry, we are excited by the long-term prospects of dry bulk shipping despite any short-term headwinds. Our large and modern owned fleet of highly versatile Handysize and Supramax ships, combined with our close customer partnership, enhanced access to cargo opportunity and high vessel utilization will enable us to outperform in this strong earnings environment. Having significantly further strengthened our balance sheet in the first half of 2022, we anticipate that the still healthy bulk dry market, our strong cash generation and limited expected capital expenditure will enable us to continue to reward shareholders by returning capital and take advantage of opportunities to grow our fleet going forward. As always, I would like to take the opportunity to thank all of our loyal and talented Pacific Basin seafarers and shore-based staff as it is not without your commitment and professionalism that we can deliver these results and continue to improve our safety performance. Ladies and gentlemen, I will now hand over to the operator, who will open the lines for any questions you may have. Operator, over to you.
Operator:  I have a question from the online. This comes from Lok Kan Chan from Credit Suisse.
Peter Schulz : His first question is on cost, how should we think of growing costs and repatriation costs going forward? And the second question, we are facing short-term uncertainties, but also with the expectation of a recovery in China and good markets for the grain and coal, how should we think about third quarter TCEs going forward?
Martin Fruergaard: Yes. The first question about the crew cost going forward. I think you should -- as we also say here, I think you should see that we have had an increase in cost and especially linked to China with a quite strict quarantine rules they have had that they are actually easing on that, and we actually see a reduction in our cost when we send -- we try to send our crew back to China. We have also reduced the number of Chinese crew. We have now more vessel with Indian crew onboard, that has also enabled us to reduce costs. So I actually think when you're going forward, you should probably look at it as I think as we get out of COVID also in China, that the costs will normalize and get back to normal lower levels. Maybe inflation would have an impact on some of the costs. But on the other hand, we are paying our crew in U.S. dollars. So I think at the moment, they are probably in a good position for that. But I think you should see that we are normalizing that cost will normalize for the crew in cost OpEx. In respect to the market, it is a good question. And you're absolutely right that we have to remember that actually, this year, we have had good markets, and we actually have had China who has actually had very low growth, I think, in second quarter, it was 0.4% growth. And we have also seen reduction in the investments in the property market. So China has not really been a big help so far this year in actually driving the dry bulk market. And at the same time, we have had the war in Ukraine that has also limited the activity of the export of grain out of that area. So there's also been a little bit of a headwind at the beginning of the year, even though the rates have been very strong. And going forward, clearly, the inflation and the recession risks, as we also say, gives us a little bit of headwind in the market. But on the other hand, maybe Ukraine will open up again in accordance with the agreement made and start exporting about as the plan is 5 million tonnes a month for the next 4 months. And hopefully, also China will ease -- continue to ease up on the restrictions and start continuing to subsidize or continue to subsidize the market with tax reductions and subsidies. And we actually also seen in China in June that things have improved quite considerably. So there's also some optimism from that area. But I think in conclusion, I think the market, we see second half be at good levels, but we expect it to be lower than it was in the first half.
Operator: Our next question is Andrew Lee from Jefferies.
Andrew Lee : Congratulations on the great results, right? I think it beat expectations and also dividend, yes, 75% payout ratio, right, is much better than expected. So a few questions, right? If you talk about dividends first, could you give a little bit of guidance on the company's thinking about the 75% payout ratio, how would that look going forward? I know 25% is so-called special dividend. But given how much cash you're generating and where the rates are, it means that you're going to be an even stronger net cash position, right, given vessel prices are high. So I interpret that as meaning that buying vessels would be quite difficult. So as you given more cash, is there a level where if you are -- where, say, if you have too much net cash, you're willing to pay that out or is that -- the way asking it, is there a minimum level of net cash that you would need and the rest could be paid out as dividend? That's the first question. Second question is the Handysize's rate -- the Supramax and the Handysize, the rebound has been actually slightly weaker or well, not has been as strong as expected or the weakness has been longer than expected? And I think the market was expecting a rebound earlier this month. What's the reason for that? And are you optimistic that things will turn around into the second half and you'll get that rebound. So I'm just trying to find out what's been causing that? Third question I have is, just on before on your comment on second half being slightly more than first half, are you referring to -- you expect the average rate to be lower? Or are you expecting that demand to be slightly weak in the second half? And if it's on demand, is that mainly on the grain call? Or do you think it's on the minor bulk as well, right, in terms of the second half weaker than the first half? That's all the questions I have for now.
Martin Fruergaard: Thank you. Peter, will you take the first?
Peter Schulz : Yes. I'll take. Thanks, Andrew, for your question. So obviously, we have a lot of cash on the balance sheet. We obviously want to make sure that we don't have too much cash on the balance. We are thinking more and more about what is the meaning of excess cash and how much do we actually need to have? I mean, we all know that there will be investment down the line in the future. We all know that we should take advantage of this strong market to strengthen our balance sheet and build up some cash balances for the longer term. That is just prudent management. So our cash levels are probably a little bit higher today than they have been in the past because now we have the cash, right? So if you look at the numbers, and so we haven't set a particular minimum cash level, at least not publicly. But if you look at the numbers and you can say, at the end of the first half, we had $700 million of available liquidity. We're now distributing about half of that. So that brings the available liquidity down to about $350 million. And by the time, we pay this dividend, we will have generated maybe another $100 million, $150 million of cash, which when the money goes out, we will have $450 million to $500 million of cash. And that's not a full cost. That's kind of just what could happen, right, I'd say. So based on that level of cash flow we paid the dividend, that's kind of how we thought about setting the percentage to have at least that level at that point in time. That's been change in the future, et cetera, but that's sort of a prudent level where we are today, $400 million to $500 million, $450 million to $500 million. Does that answer your question, Andrew?
Andrew Lee : Yes, yes, it does. That's quite -- that's very useful.
Martin Fruergaard: And I take the second and the third one. So the rebound, first of all, I think there's nothing unusual in our market that we have a summer weakness or a seasonal weakness during the summer. That's actually quite normal. I think the levels earlier in the year they were quite high, actually. And maybe you can say that the delta down to where we are now was maybe a little bit steep from May to now, the last week or 2, the market have sort of found the floor and stabilized at this level. And it's still -- we're still in July. And normally in third quarter, you start seeing the grain season comes up. And that's what we are probably sitting looking a little bit waiting for also to see what happens in Ukraine with the grain. Definitely, we will need that in order to see improvements of the market. And it would be very helpful if China continued to produce good numbers, not just in June, but going forward and hopefully also ease up on the restrictions they have. I mean that would be quite helpful for the market. And then you can say the recession is again, let's also see what happens with the restrictions on Russia in respect to coal export out of Russia and see how that will actually impact the market going forward. So I actually think there's a lot of things that could happen that actually would say there will be a rebound and it would normally be better -- normally would be better in second half than first half. But I think we'll have to see, there's also a lot of uncertainties in respect to the global GDP and recessions and so on. When I say, I expect the market to be weaker second half of our earnings. It is the market I'm talking about. We, of course, come into third quarter with 81% and 85% cover at good rates. And we have shown we are able to outperform the market at the last 3, 4 quarters, and I hope we can be able to continue to do so going forward as well. So -- but I think the market will be lower, and I will not promise that our earnings will be higher than in first half. Hopefully, we have good support by the coverage. And if the market comes, the spot market improved with grain and Russia, Ukraine and so on and China, then of course, there's a good chance we see a rebound.
Andrew Lee : Okay. Maybe I just have one follow-up question, right, because I'll let other people ask. From your first quarter trading update when we had the conference call to now, would you say that you are probably less optimistic or less bullish compared in the past few months compared to, say, first quarter trading update?
Martin Fruergaard: I am less optimistic short-term and equally optimistic long-term. I think I might be able to -- we cannot ignore that regulation and recession and Russia, there's so many uncertainties at the moment. And I think the recession and slowing demand, I think it would be -- we just have to admit that, that uncertainty makes us a little bit -- gives a little bit headwind and we're a little bit more worried about the market short-term, but longer-term, fundamentals on supply-demand side still unchanged, maybe even stronger. You noticed that the new ordering of ships are down 60% so far this year. I think it is getting more and more clear on the environmental IMO, EU, I think the environmental pressure when you see what's happening in the world with wildfires and so on. I think it will get more and more clear that we all have to do something that will be reducing speed and doing other things. So actually, in the longer run, we are equally optimistic and maybe even more than we were before.
Operator: Our next question is , individual.
Unidentified Analyst: Can you hear me?
Operator: Yes, we can hear you.
Unidentified Analyst: So actually, Iâm interested to know a bit more â itâs very exciting to see the partnership with Nihon Shipyard and Mitsui & Co. So just want to see kind of Martinâs view on meeting the 2030 de-carbonization goals for Pacific Basin. Kind of whatâs your view on the years ahead? When will Pacific Basin be kind of making that significant reinvestment into the new buildings, et cetera, given that the shipbuilding technologies are kind of very uncertain right now. So thereâs mention of ammonia as a potential new fuel. Maybe if you have any views on how that technology is being developed. And before that, the  would precipitating the â continuing with kind of a low CapEx kind of strategy by buying and selling secondhand vessels. That would be very helpful.
A âMartin Fruergaard: Yes, itâs a very good question. And of course, itâs also very high on our views, right. I would say, if we knew exactly what to order, we would order as soon as possible. But the challenge is, of course, that it is probably not the technology on the ships, but itâs probably what kind of fuel and the availability of the fuels that is our challenge. And thatâs actually also why we have made a partnership with the Nihon Shipyard and Mitsui, because we think that 3 partners come into this cooperation with different backgrounds and different knowledge. And we think if we add it all together, hopefully, we can get to the end go faster than doing it alone. So I would say the questions you asked that is actually why we have the cooperation with our Japanese partners that is actually try to answer these questions. And the project has started. And one of the first things weâre looking at is, of course, to evaluate the available fumes go through them and figure out which one would be most suitable. We have to admit that if we, by 2050, have to be net-zero. We do not have forever to start building ships. So we, of course, as a company, has the same challenge as the industry in general have at the moment. But we also have to say that we also had to look at the ships that we have today, and it will likely take some years before we get a new design that is zero emission and the ships that we have or the base in the market today, they will have to be traded for a long time in order to service the customers and the industry and the world. We cannot just change the amount. But our agenda is, of course, together with our partners in Japan to go through it, make sure we know what weâre doing. And as soon as we sort of have some certainty on availability of fuel and how to design the ship and do it safely and all these things, our ambition is, of course, to order such ships.
Q âUnidentified Analyst: I see. And I guess you already know for all your competitors, they view this as a very high uncertainty and they probably donât want to be the first to order the ship, but they want to be second to the first. So letâs see how that goes, I would say.
A âMartin Fruergaard: Yes. Yes. But I think for sure, in Pacific Basin, we know that we have to decarbonize. We can, of course, sit and wait for somebody else to do it and then come afterwards. But â and the ambition is not to be the first as such. The ambition is to be able to do it right and to do it safe. So thatâs why we cooperate with our Japanese partners on this part. And letâs see how it progresses.
Operator: Our next question is .
Unidentified Analyst: Congratulations on the results. Actually, both of the questions I had have already been asked, one was about China and the other was about dividends. So I will set aside and leave the space for the next person in the line.
Operator: And our next question is Karen Li from JP Morgan.
Karen Li : Can you hear me?
Martin Fruergaard: Yes.
Karen Li : Okay. Okay. So I have a couple of questions here. First of all, we know that there's a possibility that China might actually start to trade again with surely lifting the coal ban. So I remember, we -- Pacific Basin actually benefited from the rerouting of the trade such trade ban. So how do you look at these? How -- do you see that a positive or negative from Pacific Basin point of view, if that indeed happens. Second of all, with regard to the spot freight rate, although Pacific Basin results and so on, it's a lot stronger compared to what spot freight rate implies. But you might know a lot of investors are very closely looking at spot freight rate. Can you say some like, why the Handysize indices are held up a lot better compared to BDIY in first half period? And will that outperformance continue going into second half year?
Martin Fruergaard: Yes. Thank you very much. If I just start with the first question about China, Australia, it's correct that we also have heard there is a dialogue about opening up again for the transport of coal. And it's also correct that we would probably say that, that is a negative for us because it will normally mean that it will be carried on larger ships than our Handysizes and Supermaxes. But on the other hand, we also have to say that at the moment, at least, China is actually -- their import is actually down quite a bit. They are actually producing historically high quantities of coal themselves. It is -- so maybe that compensates something for it. But you're absolutely right that we would see an opening for coal out of Australia to China as a little bit of a negative for our segment for minor bulk. In respect to other question, I'm not sure I fully got the point, but it was nothing about the decline in the Handysize.
Karen Li : Yes, correct. So the Handysize actually held up a lot better compared to BDIY in the first half period. If I remember correctly, Handysize, I think is still up 20% compared to beginning of the year, while I think our BDIY is down slightly, yes, for the same period. So do you see -- sorry, first of all, why? And second of all, do you see that outperformance continues going into second half?
Martin Fruergaard: I don't think I can say exactly why the Handysize -- you must say the smaller the ship, the better had actually has been in the last 1.5 years. It seems like it's actually the reverse of what it usually is. But the reality is the smaller ships have actually done quite well in the last 1.5 years also compared to the Supermaxes. I think one reason could be that the larger ships, there are probably more sort of spots and maybe the smaller ones are more linked into contracts that could be one of the reasons. What we have seen that has actually been, I think, benefited the Handysize is that we have had sort of unusually many ships in the Atlantic, not just us, but the market actually, there has been -- for the period, actually more ships in the Atlantic than in the Pacific. And then finally, it's probably -- when you look at the growth picture, it's a minor bulk that has sort of driven that has been most positive. And minor bulk is, of course, very much -- has very much been dissipate aggregates that have started. I think that has actually moved more on smaller size ships than the bigger ones. And you can say, grain has been down and I think when you look at the minor bulk Handysize versus Ultra that is probably a bigger disadvantage for the Ultras' than it is for the smaller Handysize. Peter?
Peter Schulz : No, I just wanted to say, if your question also is why minor is bulk sort of outperform the larger sizes in the case on the Panamaxes, minor bulk has been the driver on the demand side. We have a much more diverse trade less China dependent. When China weakens, I think, the case in the Panamaxes are probably a bit more exposed to that than we are. So that's another reason. And of course, when we look long-term going forward, the supply dynamics in the minor segment is better than in the bigger segment, so that will give us a little bit more comfort also about the long-term future compared to the bigger segments, right? We've always been very happy to be minor bulk, and we continue to believe that is the place the segment to be when you were in dry bulk for the long-term. And our next question comes from . He asked, could you share your thoughts on the Black Sea situation on the markets? If the Black Sea and Ukrainian loadings come back, will we typically provide these freight services? And will you be active in the Black Sea terminals?
Martin Fruergaard: Yes. So as we understand it, the agreement has been made, and I'm sure they are planning now how to export it. I understand it's in the silos in Ukraine, there's about 20 million tonnes, and that will have to be lifted over the agreed period over 4 months. So that's 5 million tonnes a month. from Ukrainian ports. We have -- we hope that, that would happen. We think that would be good for the world actually. And of course, it would also be supportive about our business. We can also be a little bit worried, of course, about the safety of it. We, of course, have to see what happens in Ukraine and what -- and how the Russians are going to comply with the agreement in it. We have -- we normally say that we will trade our ships where we find it safe, safe for our crew and safe for our ships and also, of course, where we know we have -- can get the proper insurance. And I'm sure we can get insurance to do this. I'm not sure yet that we are sure that this is safe for our crew and our vessels. So we will probably not be the first one to do this. But anyway, if it happens, it will, of course, benefit the global market.
Peter Schulz : Our next question comes from Gangxian Liu from CICC. His first question is, what are the main reasons for the increase in OpEx spend across your Handysize and Supramax vessels? And the second question coming is, what is the time our rates weaken is also when container rates have declined also. Are you seeing any cargoes moving from containers back into dry bulk or dry bulk back into containers?
Martin Fruergaard: Yes. The first question is on OpEx. I think when you look at our OpEx, it's mainly -- it's mainly our Handysize that has seen an increase. We haven't really seen that on the Supramaxes. And the reason for that is that we have a majority of our PRC crew is actually on our Handysize vessels. So therefore, the extra cost of quarantine rules and other things in China and also the extra cost of Chinese group hits our Handysize market. So the increase you see here on the Handysize is mainly linked to the Chinese crew. On the Supermax and Ultramax, we have very, very few PRC crew on our ships. So if you go in and look at the increase on OpEx on our Supramax and Ultramax, it's very little compared to on the Handysize. And as I said earlier, if and when the rules in China eases up, and we already feel that things are getting a little bit back to normal, and we will also see a reduction in the OpEx cost on the Handysize.
Peter Schulz : Are you seeing any color given from containers to dry bulk or dry bulk to container given that the container rates are coming down?
Martin Fruergaard: No, not yet. But there is, of course, I'm sure there is actually effect of this, but we haven't seen it yet.
Peter Schulz : Okay. Thank you for your questions. The next question comes from Parash Jain from HSBC. Can you also please share any further details on minor bulk growth? It seems much higher than what we've seen reported by Clarksons for all the world's growth, is there any sort of disconnect between the 2?
Martin Fruergaard: Yes, I'm sure, there is a disconnect. We actually have used Oceanbolt, which we -- at least for the historical figures, things are -- is better. So it's 2 different sources, and I'm sure, there's a difference. The Clarksons data we have in this is, I think, for the full year expectations, but we prefer to use Oceanbolt, which is actually sort of more linked to the actual movements of cargo.I hope that was a good enough answer, Parash.
Operator:  There are no more further questions. We will now begin closing comments. Please go ahead, Mr. Martin Fruergaard.
Martin Fruergaard : Yes. Thank you. Yes, I'd like to thank you again for joining us today and for your continued support to Pacific Basin. If you have any further questions, please direct them to our Investor Relations team, who will be happy to answer them. So thank you very much, and have a good day.
Operator: This concludes our conference call. Thank you all for attending. You may disconnect now. Goodbye.